Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Great Elm Group Fiscal 2023 Fourth Quarter Earnings Conference Call.  All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. Adam Yates, Managing Director, you may begin your conference.
Adam Yates: Good morning, everyone. Thank you for joining us for Great Elm Group's fiscal fourth quarter 2023 earnings conference call. As a reminder, this conference call is being recorded on Thursday, September 21, 2023.  If you would like to be added to our distribution list, you can e-mail geginvestorrelations@greatelmcap.com or you can sign up for alerts directly on our website, www.greatelmgroup.com. The slide presentation accompanying today's conference call and webcast can be found on our website, under Events and Presentations. A link to the webcast is also available on our website as well as in the press release that was disseminated to announce the quarterly results. Today's conference call includes forward-looking statements, and we ask that you refer to Great Elm Group's filings with the SEC for important factors that could cause actual results to differ materially from these statements. Great Elm Group does not undertake to update its forward-looking statements unless required by law.  In addition, during today's call, management will refer to certain non-GAAP financial measures. Reconciliations to the most comparable financial measures are included in our earnings release. To obtain copies of our SEC filings, please visit Great Elm Group's website under Financial Information and select SEC filings. On the call today, we have Jason Reese, CEO; Adam Kleinman, General Counsel; Nichole Milz, COO; and Keri Davis, our newly appointed CFO.  I will now turn the call over to Jason Reese, CEO.
Jason Reese: Welcome, everyone, and thank you for joining us. Fiscal year 2023 was a transformative year for Great Elm Group as we completed our transition from a diversified holding company to a focused alternative asset manager with a strong financial and operational foundation.  In May, I stepped in as Great Elm's CEO and outlined three simple goals for the business. One, improve our profitability. Two, expand our platform. And three, grow our assets under management. We've made significant strides over the past fiscal year to lay the groundwork for success in each of these goals. I'm going to walk through these goals outlined on Slide 3 and highlight what we have accomplished to date as well as our strategic expansion initiatives underway for fiscal '24. First, improving our profitability. While there is a lot of noise in our financials over the full year, GEG ended the final quarter of fiscal '23 with a milestone, earning cash incentive fees from GECC for the first time in the company's history. This comes on the back of GECC posting a strong quarter, recording the highest cash net investment income in its history. As a result of this performance, GEG collected nearly $2 million in fees from GECC in August 2023, including $1 million of incentive fees. Going forward, we believe that we are well-positioned to continue collecting incentive fees from GECC, which will further bolster GEG's profitability.  In addition, Monomoy continues to grow. Over the course of the year, we added 17 properties to the REIT's portfolio, deploying nearly $25 million of capital, and we sold four properties for $7 million. In January, we closed on two land parcels, beginning construction on two build-to-suit projects in Florida and Mississippi successfully launching our Monomoy BTS business.  And just this month, we added senior construction executive, Andy Wright, to our team as Vice President of Real Estate. We're excited for our continued growth in this business in fiscal '24. During the year, we built out our infrastructure, providing a solid foundation to scale our business without adding material incremental overhead expense. This should lead to significant operating leverage as we grow our business, allowing for high contribution margins going forward. Moving to our second goal, expanding the platform. During fiscal '23, we made key changes to our management team, onboarding several seasoned professionals with many years of asset management experience. We made our last team addition in fiscal fourth quarter '23, welcoming Keri Davis to serve as GEG's Chief Financial Officer, in addition to her role as CFO at GECC. Keri brings a wealth of asset management experience to our accounting and finance function at GEG. In addition to boosting our bench strength, we are focused on adding new vehicles to our platform. Throughout the fiscal fourth quarter, our team has worked to develop and structure complementary funds, and we look forward to launching a new fund offering in fiscal '24. Additionally at GECC, our management team is executing upon the expansion of the Specialty Finance platform, further growing GECC's access to differentiated investment opportunities and expanding its asset base.  Finally, we continue to work diligently to source and acquire management rights to long-duration asset management businesses. The third goal, I mentioned, is to grow our assets under management. As I just discussed, we are actively seeking to grow and scale our platform, both organically and through strategic partnerships and acquisitions. Organically, our success in fiscal '23 is evidenced by our growth in fee-paying assets under management up 10% year-over-year.  Entering fiscal '24, we have an actionable opportunity set of new product launches and strategic transactions to further AUM growth objective. We are working on initiatives to leverage GEG's infrastructure and liquid balance sheet to support growth at GECC and Monomoy as well as to support the launch or acquisition of future complementary investment vehicles. Before I turn the call over to Keri to discuss our financial results for fiscal '23 and the fourth quarter, I would like to recap many of the changes implemented at GEG over '22 and '23 laid out on Slide 7. In March of '22, key management and Board changes were made at GECC, which has been successfully repositioned. In May of '22, Monomoy was acquired, doubling our AUM. Also in May, Dave Matter joined our Board after retiring from BlackRock, where he was Co-Chief Investment Officer of BlackRock Alternative Advisors, bringing extensive investment expertise and contacts to Great Elm. In June '22, we issued $27 million of five year baby bonds to grow our capital base. In August '22, an amendment was approved to reset GEG's [ph] incentive fee and we collected $1 million in August '23, as I mentioned earlier. Around the end of the calendar year, we closed two large strategic business divestitures, leaving GEG with ample liquidity to execute on our goals. In May of '23, I took on the role of CEO, and we asked Keri Davis to step up as CFO. Today, we enter fiscal '24 with a rock solid balance sheet and streamlined organization poised to execute on our key goals.  With that, I'll turn it over to Keri.
Keri Davis: Thank you, Jason. I'll provide a brief overview of the quarter, and of course, welcome all of you to review our filings in greater detail or reach out to our team with any questions.  As previously discussed, Great Elm completed two significant transactions during the fiscal year, which are highlighted on Slide 8. On January 3, we sold majority interest in the Durable Medical Equipment business to a subsidiary of Quipt for a total purchase price of $80 million. After repayment of obligations, we received approximately $26 million in cash as well as just over 346,000 shares of Quipt's common stock.  On December 30, 2022, we sold 61% of our majority ownership interest in Forest to JPMorgan for over $18 million. On January 17, we exercised the right to put our remaining 19% interest in Forest to an affiliate of JPMorgan for nearly $27 million. The January sales brought our aggregate cash proceeds from the Forest transaction to approximately $45 million. As a result of these transactions, we realized material gains on those investments, generated significant value for Great Elm's shareholders and added over $70 million of cash to GEG's balance sheet.  In review of continuing operations, quarter-to-date revenues almost doubled year-over-year, driven by increased fee-paying assets under management related to GECC and Monomoy. We were pleased to recognize incentive fees of $1 million from GECC during the fourth fiscal quarter. AUM Of $640 million as of June 30, 2023, increased 1% from the prior quarter end. It was up 5% from the prior fiscal year-end, while fee-paying AUM grew to $449 million, up 2% quarter-to-date and up 10% from the prior fiscal year-end.  For the quarter, Great Elm Group generated a net loss from continuing operations of $5.3 million comparable to the prior-year period. For the fiscal year 2023, Great Elm Group generated net income from continuing operations of $14.5 million compared to a net loss from continuing operations of $19.3 million in the prior fiscal year. Adjusted EBITDA for the quarter was $0.4 million compared to $0.3 million in the prior year period. For the fiscal year 2023, Great Elm Group generated adjusted EBITDA of $1 million compared to a net loss of $1.3 million in the prior fiscal year. As of June 30, Great Elm Group had approximately $85 million of combined cash and marketable securities on our balance sheet to deploy across our growing alternative asset management platform. Please refer to Slide 6 that provides an overview of our financial position and highlights our book value per share of approximately $2.16.  This concludes my financial review of the quarter. With that, we will turn the call over to the operator to open for questions.
Operator: [Operator Instructions]. And our first question comes from the line of Nate Stewart from Capital Advisors. Your line is open.
Nathan Stewart: Hi, good morning. It looks like things are getting on track here with GEC. I'm just curious -- I'm going to review your results today, but where are you seeing opportunities for growth, especially if you're looking for opportunities outside of GEG for acquisitions and so forth. Do you think real estate is going to be a key? Is that the area you're mostly focusing on? Or is there other BDC stuff you might look at?
Jason Reese: Hey, Nate, this is Jason. Thank you for being on the call. I think we're both looking at credit opportunities. We really like the credit markets right now, what's happened with the banking system, what's happened with interest rates. So there's a lot of opportunities for GECC at the BDC. We also think that there could be other vehicles that we could manage either de novo where we start them up or acquire in the credit space, and we do like the real estate space quite a bit.  There are certain areas of real estate like industrial that we're focused in that we think are great areas right now, while a lot of commercial real estate is distressed where we would not be focusing.
Nathan Stewart: Sure. Yeah, that makes a lot of sense. I look forward to what you guys come up with because it seems like the platform now has a lot of potential if you can add a little bit of scale to it. So keep up the good work.
Jason Reese: Thank you. We think so too. Thank you, Nate.
Operator: [Operator Instructions] And there are no further questions at this time. I will now turn the call back over to CEO, Jason Reese for some final closing remarks.
Jason Reese: Well, thank you again for joining us today. We look forward to speaking with you in the future.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.